Operator: Greetings. Welcome to OptimizeRx Corporation's First Quarter 2022 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Will Febbo. Thank you. You may begin.
William Febbo: Thank you, operator. Hi, everyone. Good afternoon, and thank you for joining OptimizeRx for our first call of the new fiscal year. Our mission remains to stay ahead of Healthcare's rapidly evolving digital transformation, building a more informed and empowered health care community by developing new technology solutions that help people start and stay on life-impacting therapies. In executing our operating strategy, we have the privilege of serving doctors and patients at the point of care, but also enabling our pharma clients digital engagement and connectivity at a time when the need could not be greater. Our technology solutions and market-leading HCP network are a pragmatic choice for our clients who are looking for strong digital connection to their end markets. The technology platform that we have built is incredibly powerful, especially when married with a large health care provider network. The connectivity we have to point of care is very valuable to our clients, doctors and patients as the epicenter of care delivery and digital enablement. We are seeing more and more conversations with our clients and network partners, which expand beyond communication at the point of care and grant us a seat at the table for strategic initiatives that could drive significant incremental revenue opportunities. Before moving on, I want everyone to know we understand the markets have been tumultuous. As an investor in the business myself, I believe it's important to delve into some high-level fundamentals. So everyone understands our position and why I'm more excited and bullish on our business than ever before. First off, nearly 80% of our business comes from the 20 largest pharma manufacturers. Our clients remain in strong financial position today and have performed remarkably well throughout the pandemic. In addition, pharma is continuing to innovate and grow while transforming its operating model by dismantling legacy commercial infrastructure and reallocating significant resources towards digital solutions. You don't need to look very hard to see clear evidence of this as many of the industry's bellwethers have highlighted this move in their press releases and investor presentations in recent months and have added new members to their C-suite making this is a strategic priority for their companies. On top of that, we've positioned our business for resilience to win even in an economic downturn. We have a pristine balance sheet are generating meaningful operating cash flow and have a profitable trailing 12-month adjusted EBITDA that has significantly outpaced our year-over-year revenue growth. This is a rare error for digital health, particularly for companies with sub-$1 billion market caps and it positions us to capitalize on multiple M&A targets and other accretive strategic opportunities at better valuations with less shareholder dilution than before. We remain steadfast in our objective and discipline when examining targets. We are extraordinarily selective in order to ensure that our M&A strategy stays consistent with our long-term vision of being a leading tech-enabled partner for the life science industry, while maintaining significant scalability. Finally, like most successful disruptive innovation adoption cycles, we are following the S-curve trajectory and are in the very early stages of the inflection point for pharmas [ph] transition. We have been consistent in our approach of building higher value solutions to support our land-and-expand strategy. Our KPIs, which Ed will discuss in more detail, capture this well and will continue to provide transparency as we execute our objectives. Our business continues to operate outside current macro headwinds that are impacting the labor market, interest rates and the supply chains of many industries. This is resulting in improved visibility and positioning us to maintain a strong growth trajectory well beyond 2022. When coupled with our strong balance sheet and scalable infrastructure, this affords us the opportunity to act nimbly and strategically as we continue to serve patients, health care providers and our clients. Therefore, one of our highlights from this first quarter was the launch of our most expansive enterprise program to date, which consisted of a therapy initiation program for a new anti-inflammatory biologic brand from the top 10 pharma manufacturer. We are proud to be a key partner for our client in addressing patient therapy initiation challenges for the specialty drug launch. I have been more involved personally at high levels with our clients as they assess how to advance their digital strategies in the commercialization process. While building our current platform and network was complex and took many years, we will continue to develop solutions, which set us apart from the other technologies seeking to support physician and patients at point of care. The elegant design of our technology allows for beneficial life science engagement with physicians and patients, supporting care, while simultaneously sustaining a connected care experience for patients. It ensures our clients reach the point of care where critical medical decisions are being made. Pharma manufacturers are now well aware that having direct uninterrupted access to point of care as part of their commercial toolkit is imperative, as events like COVID-19 pandemic can completely shut down traditional commercial activities at sites of care. The limitations and constraints created by COVID-19 have propelled the industry's estimated digital spend to increase from approximately $4 billion in 2019 to above $10 billion currently. In order to maximize our ability to capitalize on these mega trends, we have consistently made targeted investments to position ourselves as the premier technology partner to our clients. These investments continue to strengthen our platform and have laid the foundation for continued scalable growth. From a sequential perspective, we are carrying over the momentum of fiscal 2021, growing our partnerships with 95% of the top 20 largest pharma manufacturers. Our land and expand strategy remains key to unlocking revenue generation as we continue to win more of our clients' brands, as well as upcoming brands that can also benefit from our enterprise solutions. As we forge ahead, our operating strategy continues to center around three basic tenets of growth, which are having the right team at the helm to execute our initiatives, the remaining focused on enhancing our solutions and digital enablement capabilities and offering increasing strategic value to our clients. We continue to enhance our platform capabilities with a keen emphasis on our artificial intelligence and data-centric solutions. The cutting-edge science behind our proprietary algorithms positions us well to focus more on our key markets. And speaking of key markets, we are also excited to note the completion of our acquisition of EvinceMed,, which serves to further enable us with core markets such as specialty medications to enhance our organic growth trajectory. This strategic asset purchase expands the reach of our point-of-care solutions in order to simplify the prescribing process for specialty medications for health care providers, enabling greater access and faster time to therapy for patients. We are simplifying the prescribing process for specialty products by automating manual steps to determine drug eligibility and affordability across OptimizeRx intelligent network, which currently connects over 60% of the U.S. health care providers and millions of patients. Full integration of EvinceMed, technology assets will advance our ability to help patients start and stay on therapy, while also improving our margins and increasing our addressable market. As mentioned prior, this capability is shown to be valuable to life science companies, particularly those with specialty brands where early intervention can be the deciding factor in whether a patient will have a positive health outcome. While specialty drugs only account for roughly 2% of the total prescription volume in the U.S., they represent nearly 50% of the total pharmacy spend, which was roughly $29 billion in 2019, which is why we've chosen to focus heavily on this market. The cost and increasing use of specialty medications have exposed unique barriers to the prescription and patient access process. Although manufacturing support programs provide much needed services to aid in prescription medication process, access affordability and adherence, a recent survey found that 20% of patients were aware of such programs. Doctors and their staff are well positioned to assist patients with program enrollment. However, this process is currently a significant pain point for them, often resulting in delays in the patient's time to treatment. We are working diligently to simplify this process for the doctors and their stock. As we continue to see an accelerated growth in specialty and oncology medications, we are seeing increased demand for our enterprise solutions. We are also seeing growing opportunities with the increase in therapies being developed for niche, rare or orphan diseases. Discussions with clients continue to elevate in nature requiring engagement from senior executives and strategic decision makers. There is also growing demand for our real-world evidence solution, which clients are using to find and communicate with specific physicians whose patients may qualify for their therapies. The predictive nature of this AI-driven solution, combined with its integration across our network is a game-changing tool for our clients. It assists them in reaching hard-to-find patient populations, predicting affordability challenges and illuminating early indicators of non-adherence in patients. Looking back at the 12-month KPIs, it only makes sense that we continue to capture industry white space. As we deepen our relationship across our clients' brands, we are generating more revenue per top manufacturer, while also improving revenue per full-time employee as our platform has been built to optimize its scalability. For our clients, the end results are both quantifiable and compelling. Client ROI remains high at 13:1 against their spend. Now before I pass the call to Ed, I want to mention the release of our first environmental, social and governance report. The effort to measure, benchmark and improve, OptimizeRx as a good corporate citizen, is led by our General Counsel and Chief Compliance Officer; Marion Odence Ford. We've aligned our mission and goals with the stakeholder capitalism metrics of the World Economic Forum to demonstrate our commitment to long-term sustainable value creation that embraces the broader demands of people and planet. This is a mantra for our entire organization has adopted and continues to champion. And now with that, I'd like to turn the call over to our CFO and COO, Ed Stelmakh, who will walk us through the financial details for Q1. Ed?
Ed Stelmakh: Thanks, Will, and good afternoon, everyone. As with all our calls, a press release was issued with the results of our first quarter ended March 31, 2022. A copy is available for viewing and may be downloaded from the Investor Relations section of our website. Additional information can be obtained through our forthcoming 10-Q, which will be filed in the coming days. Turning to our financial results for the period. Our revenue for the quarter was $13.7 million, an increase of 22% over the $1.2 million from the same period in 2021. The increased revenue resulted from growth in sales in our messaging and access solutions. Our gross margin increased from 55% in the quarter ended March 31, 2021, and 59% in quarter ended March 31, 2022. As a result of solution and network partner mix. Generally, there has been an increase in the percentage of activity flowing through channels with more favorable economics when compared to a year ago. Given our performance in the first quarter of 2022, we are reiterating our guidance, which calls for revenue to come in between $80 million and $85 million for the year and gross margin between 57% and 60%. Our operating expenses increased from $6.8 million for the 3 months ended March 31, 2021, to $1.9 million during the first quarter of 2022. This increase in expense is primarily due to the investment and expansion of the OptimizeRx team to enable future growth. $2.5 million of the year-over-year increase was tied to stage based pg compensation and non-cash expense. We had a net loss of $3.8 million or $0.21 per basic and fully diluted share for the three months ended March 31, 2022, as compared to a net vosof$0.6 million during the same period in 2021. Overall, the increase in net loss resulted from significant investments to meet in our people and technology infrastructure to support future growth. On a non-GAAP basis, our net loss for the first quarter of 2022 was 98,000 or $0.01 per basic and fully diluted share outstanding, as compared to a non-GAAP net income of 596,000 or $0.04 per basic and $0.03 per fully diluted share outstanding in the same year ago period. Now turning to our balance sheet. Cash and cash equivalents totaled $89 million on March 31, 2022, compared to $84.7 million of December 31, 2021. We plan to use these funds to further expand our business and accelerate revenue growth. Now I'd like to turn to the company's KPIs that we introduced this past February, which provides transparency, as well as quantifiable metrics that can be used to continue to communicate our story as our business grows and matures. Our average revenue per [indiscernible] manufacturer grew year-over-year by 20% to $2.5 million in 2022 despite adding two new top 20 customers over the last 12 months, which are still early in the relationship life cycle with us. Growth here was primarily the result of our focus on signing larger and more comprehensive deals and through supporting additional brands as we continue to gain ground with now 19 of the top 20 largest pharma companies in the world, which again represents the lion's share of the industry's commercial spend. In addition, our ability to create tangible value for our clients, as well as growing demand for our solutions is reflected in our net revenue retention rate of 124% for the first quarter of 2022. Our operating model continues to demonstrate significant capability for leverageable growth with revenues per full-time employee at $733,000 for the first quarter of 2022, which represents a 16% year-over-year improvement on what was already an industry-leading metric and a testament to the team we have built in our ability to act nimbly in an ever evolving macro environment. We will continue to report on these KPIs on a regular basis throughout the year to ensure open and transparent communications with our shareholders. And now with that, I would like to turn the call back over to Will. Will?
William Febbo: Thanks, Ed. We are confident that we have put into motion the right strategic road map to take advantage of these tailwinds that are driving the way health care is addressing patient access adherence and affordability right at point of care. The takeaways are worth mentioning again. First is our client base, pharma in good shape. The answer is astoundingly yes, as they come off the back end of the COVID-19 pandemic and continue the trajectory of specialty products, bedding, fitting from advances in science and technology. They are also going through transformative changes to adapt to the new operating model that will continue to dismantle their legacy infrastructure, particularly their commercial function. Just look at the headlines of the top 20 pharma companies over the last few months. This is a tailwind for companies like OptimizeRx. Second, our financials speak for themselves with a pristine balance sheet, positive operating cash flow and a profitable P&L. This puts us in the top percentile of our competition and gives us the ability to capitalize on lower multiples for potential acquisition targets. We've been very selective and careful in ensuring that our M&A strategy stays consistent with our long-term vision of being a tech-enabled solution for life science industry with significant ability to scale by leveraging our existing infrastructure. Third, we are still early in the digital adoption cycle as all innovations typically follow the S-curve trajectory. We have been consistent in our approach to build higher value solutions to support our land and expand strategies. Our KPIs capture this well and will continue to provide the right level of transparency to our stakeholders as we continue to execute on that strategy. I want to thank everyone for joining us on the call today. I particularly want to thank our employees, OptimizeRx growth and success would not be possible without you. You are continuously helping deliver maximum value to our clients, the investors and all our stakeholders, successes [ph] that they and we will achieve this year. This is a marathon, not a sprint. So as we say in our all hands, one team and onward. Thanks, everyone. We look forward to having you join us for the next call. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Ryan Daniels with William Blair. Please proceed.
Ryan Daniels: Yeah, guys. Thanks for taking the questions and congrats on the strong start to the year. Will, maybe one for you. It doesn't appear to be the case given the confidence you expressed and again, the strong start to the year. But I'm curious if you're seeing anything in regards to the sales conversion rate or pipeline as we go through more of a reopening and return to normalcy, as it relates to pharma companies dedicating budgets towards trade shows, things of that nature versus digital. Or is digital really just continuing a pace given the high ROI?
William Febbo: Hey, Ryan, thanks. Yeah. No, really happy with the way the year started. We have not seen disruption from sort of the idea of returning to traditional marketing, infrastructure and methods. And they are - they started happening really last year, right? So we don't expect that at all to be a headwind. As a matter of fact, it should complement what they do digitally. I will say there's still - the industry is going through big shifts and big ships don't happen fast. So pharma, while they have the funds and can allocate as much as they want, they're very much a test and verify approach. And so what we've seen is those clients that we've had for long tenure, are certainly increasing their spend and that's flowing really well. Obviously, it was such a good start to the year. And those new ones are starting at probably a higher level, but still starting to test it and measure it. So no traditional methods getting in our way. It has evoked some good conversations about how the two work together. And that's always the best approach because you're not going to - if some - if your client wants to do something, you want to enable it to be better, not try to just tell them not to do it. So we've had a lot of conversations. And yeah, no, nothing in the way yet.
Ryan Daniels: Okay. Perfect. And then you hit on this a little bit, but obviously, the public markets have been under a lot of turmoil, and then the digital health companies of late, in particular, have faced a ton of pressure. I'm curious if you look to the private markets, have you seen a multiple reset yet such that maybe there is assets out there that would have been too expensive for you, not on a cash basis, but just from what they wanted in regards to the premium relative to their revenue or growth or earnings. Has that reversed at all kind of opening up the pipeline a little bit more as we head into '22? Or has that not reset yet?
William Febbo: Yeah. I mean people don't like to say it, us in the public side feel it right away. And it feels awful and it's frustrating, especially when your business is performing so well. On the private side, you've got that delay. But ultimately, capital markets is where the money comes from for most transactions. So I would say there's going to be really good opportunity through the year. I think we're all not rushing into anything because of how tumultuous the markets have been and just the world in general. But I think it's - there's going to be a significant opportunity. And these adjustments, obviously, the SPAC market was taken out, IPOs have been pushed. But yes, liquidity is always desired, right? So I think there's going to be the right kind of pressure for us as a potential buyer of assets and teams and people and will really help us. But again, as we said, we're going to be super selective, not rush. But I do think it will help us through the year, just not right now.
Ryan Daniels: Okay. Very helpful. And then last question I have, and I'll take the rest offline. Just any updated thoughts on maybe the cadence of some of the investments through the year. I know you had a pretty heavy year bringing on talent last year. Some of that's abated a little bit, and you may grow into that. But just any update for the model or things we should consider about really either sales cadence or investment cadence for the rest of the year? Thanks. I'll leave it there.
William Febbo: Thanks, Ryan. No significant aberrations from what we've talked about in the past. We're really leaning in with our partners and letting them know we're willing to invest to bring innovative tools to the point of care for doctors and patients. If they can't or we can invest together. And those are one-off situations that connect to a long-term contract, which is frankly already generating a nice return. So no drama there. We're really sort of another year of head down to grow the business, get closer to the client with the strategic partnerships and just make sure our solutions are very relevant and our reach is ample.
Ryan Daniels: Perfect. Thank you, again.
William Febbo: Thank you.
Operator: Our next question is from Sean Dodge from RBC Capital Markets. Please proceed.
Sean Dodge: Thanks. Good afternoon and I'll add my congratulations on the strong start. Will, you mentioned the increased strategic interest from pharma in the digital channels and decisions moving higher up in the org chart. As that continues, what kind of possibilities does that open up for you in terms of changing how you contract with them? Does this kind of create possibilities to move to more like subscription-like models over time? And does that potentially give you a mechanism or cover to begin capturing or sharing in more of the value you're creating with your offerings?
William Febbo: Yeah. Thanks, Sean. No, I wouldn't say it moves us towards a subscription or having some kind of risk share model that's largely not liked throughout pharma. They prefer to know what they're getting into. And really understand how they can measure it and budget for it. But I think what it does is it really allows us to understand - we think they know their challenge. We know their challenges, right? But when you're at the table really listening to them and seeing those challenges and seeing that our solutions can meet them. The next question is, do we have something that's actually scalable? Can we handle it? And I'm really glad to say that we've been able to show that we can. And that word gets out pretty quickly. I think we've - you've probably seen press releases really more focused on industry. And I think that's really key right now is just getting to make sure the client base understands we are a reliable long-term partner and we're really their technology partner at point of care and just have a great suite of solutions. So not - unfortunately, not subscription, but when you get there, if you look at other industries, the companies that have gotten to be strategic, it's very sticky, it's very SaaS-like and you have a lot of growth for a lot of years.
Sean Dodge: Okay. Great. And then on margins, you reiterated your targets for gross margins for the year. But I'm thinking more on G&A specifically, and you may have touched on just a bit on the previous. But on G&A, can we think about those dollars being pretty flat going forward? Is there any investing you need to do over the course of the year kind of little puts and takes here? We're just trying to understand how to think about EBITDA unfolding for the rest of the year.
William Febbo: Yeah I'll start and then I'll hand it to Ed. But look, we're - the reality is we're in an early stage company. So if we think we need to invest, we absolutely will. We have the cash. We've got the TAM, it's all there. But we like to show - we all like the company to be profitable. Certainly, the market wants it. And that's part of the factor. But the real factor is, do we need to invest more? Right now, we've got an unbelievable strong team. And I think we've got the ability to grow the business, continue to get awareness up. And there is a pace to it. We've talked about it before. You don't buy your way into this business. It's very hard. You really build your way into it. And so getting ahead on hiring just means you're going to lose money, but it doesn't necessarily get you the benefit as quickly as we would all want it. So we're going to keep that approach. Ed, anything else to add on that?
Ed Stelmakh: I think you covered it well. I'll just say, I mean, we run an affordability [ph] business. As the business grows, and we see when I said for the rest of the year, we invest according to this. So we're trying not to get too far ahead of the numbers. So I think which you can - as you're modeling out, just keep that in mind that we certainly will not allow operating expenses to go too much faster, faster roll than top line.
Sean Dodge: Okay. That's very helpful. Thank you.
Ed Stelmakh: No problem.
Operator: Our next question is from Mark Wiesenberger with B. Riley Securities. Please proceed.
Mark Wiesenberger: Thanks, good afternoon. Appreciate you taking the questions. In the release, you noted that the company has done a lot of the heavy lifting to hit your 2022 objectives. Wondering if you could kind of talk about what percentage of that $80 million to $85 million revenue guide is currently contracted?
William Febbo: Well, as we've talked about in the last quarters, we have very good visibility kind of 6 months out. A lot of these are renewals through midyear, which we have, obviously, a very high renewal rate against. So yeah, we still feel very confident about the range. I don't want to give you a percentage because I'd kind of be pulling it out of the air. But it's enough to feel confident in being our first year with guidance, I think that that stands on its own.
Mark Wiesenberger: Understood. Helpful. I appreciate the update on the new KPIs. Wondering if you can maybe backfill a few of those for us so we could kind of understand how they evolved through last year.
William Febbo: Sure. And Andy, you want to take that?
Andrew D’Silva: Yes, sure Yes. So basically, obviously, we'll disclose those KPIs as the year moves forward. But to give you a sense for kind of last two quarters of last year. So you can probably use 2.4 million or thereabouts for Q2 of 2021 and about 2.5% for Q3 of 2021. We'll get to the number one …
Mark Wiesenberger: Sure. I think you might have started with a new channel partner kind of towards the end of last year, early this year. Could you talk about kind of that new relationship? How far along is the integration? And are there other kind of similar opportunities to kind of gain efficiencies with other channel partners as well?
William Febbo: Yeah, Mark. So yes, we are up and running and going strong with that partner [indiscernible] matter out in Vegas at Asembia, which is a conference and I was with that partner most of the day yesterday and several others. I think what we've really done, the team has done such a good job building credibility and trust in an area where there really was very little. And our culture is very much just care, like really care and actually do the right thing. Even if it takes a little longer, and boy, has that paid off? I mean every meeting I'm having is we're well received, were viewed as an innovator helper, and that's only going to help us get that additional reach we want. And then as we've talked about, we're obviously exploring multiple channels so that for our client, we can go to them and say, yes, we've got you at point of care, but we've got an omnichannel approach, which means just multiple channels. And I have seen great progress on that front, too. So very, very solid. We do not have reach issues at all. And I think the quality of the relationships are year-over-year, much better and I give the team the whole team a lot of credit for that.
Mark Wiesenberger: Got it. I appreciate it. And then just a final one for me. It's nice to see that continued increase in the average top 20 pharma spend. Wondering if you could just unpack a little bit the primary drivers of that? And then maybe how many programs are kind of in place across the top 20 pharma partners? Thank you.
William Febbo: Okay. I'll start and then hand it to Ed. But you have to keep in mind looking at the number in Q1 is - it's early in the year, right? So Ed, I don't know if you have the specifics of unpacking that, but maybe you can talk to it a little bit more.
Ed Stelmakh: Yeah. I mean it's the same dynamics we had in the past. So basically, continue to execute on just getting a bigger share of wallet as we land and expand those accounts without getting to specific numbers, there's a handful of brands that we manage typically individual accounts. And I mean that's kind of what drove our number to get to 25, 49 [ph] for Q1 2022. So we continue to grow, continue to expand. And hopefully, we'll see that continue as we mature these accounts.
Mark Wiesenberger: Okay. Thank you very much. Congrats on the quarter.
William Febbo: Sure.
Operator: Our next question is from Max Michaelis with Lake Street Capital Markets. Please proceed.
Max Michaelis: Hey, guys. How are you doing? First, just one question for me. I know you guys reiterated your guidance for 2022 of $80 million to $85 million. But I'd just like to focus in on Q2. I would like to know if you guys are somewhat comfortable with the current consensus out there right now at 17.9 million and on the top line and then 2.1 adjusted EBITDA?
Ed Stelmakh: Yes. Good to see you, hi, to Eric for us. The - we don't comment to quarterly. This is our first year on annual guidance. So I don't really want to go specifically into any quarters. I think as a company, we're evolving that way. I think the KPIs will help us track and communicate to the investor front. But still, as we said, still feeling very good about the year. But I appreciate that we will need to get to that point to talk quarterly. I just want - kind of want to walk before we run there. 
Max Michaelis: All right. Thanks, guys.
Ed Stelmakh: Yeah, thank you.
Operator: Our next question is from Harvey Poppel with Poppel. Please proceed.
Harvey Poppel: Yeah, hello. Well, very nice job in the first quarter.
William Febbo: Thank you, Harvey.
Harvey Poppel: Quick question. You talked about the headwinds that are facing so many other companies, but you didn't mention inflation at all. What impact does this higher rate of inflation, which looks like it will be sustained at least to the end of the year? What impact does that have on the business, both from terms of your pricing power, a good side of it? And in terms of your cost, which is the negative sign?
William Febbo: Yes. Thanks, Harvey. Great to hear your voice. I'll talk a little bit, and then I'll pass it to Ed. But I think ultimately, we're operating in an environment where we privately already have most of this baked in just through compensation and having the right plans in place to have people. We do not have a lot of, as we said, supply chain or procurement or facilities or fuel need for fuel. So I don't see it on the P&L. It's probably already in there. But Ed, maybe you can speak a little bit to the clients and pricing such - anything...
Ed Stelmakh: Yeah. Just to kind of round off the operating expense side of the equation. I mean what was right. I mean most of it is already elected. I mean who knows what the long-term impact will be. But as you know, we're not a highly labor-intensive type of a business, which definitely is positive from orbit manage through increasing recycles. As far as clients are concerned, I actually think for us, it's a tailwind. First of all, inflation increased nicely into pharmas pricing power themselves because many of them have pricing arrangements baked [ph] to the CPI. So obviously, as CPI goes up, that gives them a few extra percentage points they can add into their annual increases and that increases typically the commercial budget on for them. So hopefully, the wallet growth and the share of wallet will continue to get bigger for us as well.
Harvey Poppel: Okay. Thank you. Second question, with the cash now reaching almost $90 million in no material debt, given what's happened to the price of the stock down by over two thirds from this high point, what is the thinking of the Board about the possibility of doing some sort of stock buyback?
Ed Stelmakh: Yes. Obviously, we look at the stock price. And keep in mind, so just support all my team or shareholders. So it's a pretty comprehensive review and discussion. We don't have any real comment on that other than that we think the business is going to perform and the value will be created. It's counterintuitive to the stage we're in. I mean you have cash, you want to use it to grow not to take shares off and I don't want to play any games. However, that being said, we do think it's very under valued, and we'll always look at those as options. And when we decide, we'll obviously let everyone know. We appreciate the question, though.
Harvey Poppel: Okay. Thank you very much.
Ed Stelmakh: Thanks, Harvey. Do well.
William Febbo: Thank you.
Operator: Our next question is from Ron Chez, Private Investor. Please proceed.
Unidentified Analyst: Good afternoon.
William Febbo: Hey, Ron. How are you?
Unidentified Analyst: Good job by the way.
William Febbo: Thank you.
Unidentified Analyst: You're welcome. Can I confirm what I thought I heard with regard to operating leverage that I think Ed said that it would be likely that the expense side would not grow in proportion to the revenue side? You're going to generate some operating leverage this year?
William Febbo: That's correct. Yes.
Unidentified Analyst: And everybody asks you about what you're going to buy, who comes to you to say they're interested in buying you?
William Febbo: Yeah. Well, I think you've seen this other than a few spectacular people out there with big balance sheets, buying things. A lot of it slowed, right? We obviously just completed an acquisition, which was started late last year and finished early this year. And I think everyone is waiting. And a lot of these larger buyers that would possibly be interested in us, they do have impact from a lot of these macro trends, particularly inflation. And so I'm sure they're all doing the math. And so we're just going to keep our head down and grow the business, and that will be what it will be.
Unidentified Analyst: Just a personal opinion. I agree with in general, with the retention of cash and flexibility in the operating mode that you are in right now.
William Febbo: Thank you.
Unidentified Analyst: I have one more question. You're going to - are we going to - I probably can't answer. You're going to see support of shareholder acquisition, Board and employees?
William Febbo: Yeah. It's a tough one to talk to. It obviously - we have in the past, we'll see about what happens in the future. Again, I think while that's always a good sign, what we can really do as a team is just keep growing the business because that speaks for itself. And no one's purchase, if any shares would be material, it would just be a sign. And I can tell you, just to get it on the record, we are very focused on this business, very positive on the business and really excited about it. So you've known me a long time - long time and pretty level on these things. I'm really fired up. I mean, these last few days at this conference has just gotten me so excited about the business and the people and the need. I mean, the needs, we all know that need is huge. So we're going to keep trying to get these stars to align and really build a nice big business.
Unidentified Analyst: Good luck.
William Febbo: Thanks, Ron. I appreciate the support.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to management for closing comments.
William Febbo: Thanks, everyone. I realize that part of what we said was the closing comments, but I'll tell you, those were great questions. We're focused on the right things. You've heard the word team a lot. Everyone knows it's all about the people, even though you're a technology company. So I can't say enough there. And as I just said to Ron, it's - we're very positive on this business. And we get the question a lot, why aren't you bigger already? And it's mainly because our clients are cautious and they go at their own pace. But once they start to really lean in, it's a very, very big opportunity, and we think we're getting closer and closer to that. So thanks, everyone, for your time, everyone, for their support, and we look forward to talking to you to cover Q2. Operator?
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.